Operator: Good day, ladies and gentlemen, thank you for standing by. Welcome to the Methanex Corporation’s Second Quarter Results Conference Call. I would now like to turn the conference call over to Ms. Sandra Daycock, Director of Investor Relations. Please go ahead.
Sandra Daycock: Good morning, ladies and gentlemen. Welcome to our second quarter results conference call. Our 2013 second quarter report along with presentation slides summarizing the Q2 results can be accessed at our website at www.methanex.com. I would like to remind our listeners that our comments and answers to your questions today may contain forward-looking information. This information by its nature is subject to risks and uncertainties that may cause the stated outcome to differ materially from the actual outcome. Certain material factors or assumptions were applied in drawing the conclusions or making the forecasts or projections, which are included in the forward-looking information. Please refer to our latest MD&A and to our 2012 Annual Report for more information. For clarification, any references to EBITDA, cash flow or income made in today’s remarks reflect our 63.1% economic interest in the Atlas facility and our 60% economic interest in the Egypt facility. In addition, we reported our adjusted EBITDA and adjusted net income to exclude the mark-to-market impact of share-based compensation and other non-operating items. We reported our results in this way to make them a better measure of underlying operating performance and we encourage analysts covering the company to report the results in this manner. I would now like to turn the call over to Methanex’s President and CEO, Mr. John Floren for his comments and a question-and-answer period.
John Floren: Good morning. As you can see, we’ve had a solid quarter with EBITDA up 5% and adjusted earnings up 12% from Q1 2013. We’re making a very good progress on our growth initiatives to increase operating capacity by 6% or 3 million tonnes over the next few years, which offer significant upside to our cash flow and earnings generation. Long-term industry outlook is very positive with solid demand growth and limited new supply. so despite widespread economic concerns and uncertainty in the global financial markets, demand has been good in all regions and was up 4% in Q2 versus Q1, 2013. The healthy demand for methanol in energy applications, in particular, methanol fuel burning MTBE in Europe, as many plants have switched from ETBE back to MTBE and MTO are driving higher industry growth. Sales for the quarter were over 2 million metric tonnes and is our highest quarter of sales since 2004. Sales discounts are lowered by 1.1%, compared to the same quarter in 2012. Year-to-date logistics costs are lowered by $20 million when compared to the same period in 2012. This is a really nice ongoing trend for the first six months of the year. We’ve rolled our U.S. purchase price at $60 a gallon in August from July. Production continued to exceed produce sales volumes in Q2. We also signed an additional gas contract in New Zealand to allow us to produce 600,000 tonnes of methanol over the next 3 years. In general, we’re very encouraged about the prospects were in the New Zealand gas markets going forward. We’re optimistic that we’ll be able to restart our Chile I plant later this year and run it at higher rates than we experienced in the fall of 2012. We operated our Egypt plant at 85% rate during Q2 and we continue to run at high rates in July and we’re comfortable with 70% average operating rate guidance we’ve indicated for 2013. We lost about 57,000 tons of production in Trinidad during Q2, as a result of technical issues, which is about half of our lost production and the balance of our losses was due to gas restrictions. We anticipate further gas restrictions in Q3. These ongoing restrictions are contributing to the tightness of supply in the Atlantic Basin. We’ve commenced legal proceedings against one of the Argentinian gas suppliers who ceased to supply us the natural gas in 2007. This is the first step and we may be taking further action against other gas suppliers in the days and weeks to come. So I’ll stop there and take any questions that may be on the line.
Operator: Thank you. We will now take questions from the telephone lines. (Operator Instructions) Our first question is from Ben Isaacson from Scotiabank. Please go ahead.
Ben Isaacson – Scotiabank GBM: Thank you very much and good morning. My first question is on Chinese re-exporting of methanol potentially from Iranian product or potentially not. I was wondering if you could give some color on the pick up that we’ve seen and how temporary, you think, this is going to be?
John Floren: Yeah, we are seeing methanol re-exported from China, our view is, it’s mainly Middle East or in other Southeast Asian products as opposed to Chinese product. We’ve seen the inventories in China over the last weeks almost cut into half on the coast. I think there has been a number of unplanned and planned outages in region, which is leading to tightness. We will continue to see pricing increase in China for RMB product, as well as U.S. dollar CFR product. We’ve (inaudible) it’s difficult to predict the future, but based on our current view with low inventories, we wouldn’t expect to see a lot more product being exported, does not lot more product there outside of Chinese productivity we exported.
Ben Isaacson – Scotiabank GBM: Okay. Thanks John. And just my follow up question, we’ve seen a couple of more projects being announced in North America whether those are really or not, I guess time will tell. Assuming that they are and the U.S. becomes the net exporter. How does that potentially impact the economics of G1 and G2?
John Floren: Well the G1 and G2, our plan is to keep those molecules in the U.S. market. I think what will happen is somebody import a material that’s coming into North America from Trinidad or Equatorial Guinea or even Venezuela may after find a new home. But I think it’s early days to predict what the supply demand balance might look like three or four years from now. And whether these projects get built or the timing of those projects. So I think it’s really again hard to predict next year never mind three or four years out there.
Ben Isaacson – Scotiabank GBM: Okay, thanks.
Operator: Thank you. The following question is from Jacob Bout from CIBC. Please go ahead.
Jacob Bout – CIBC World Markets: Good afternoon. Just a question here on Geismar, so perhaps you can give us an update here on the capital spend to date, and what you are expecting to pay over the next 12 to 18 months, from an expensing perspectives, maybe just give us an update overall of how many shipments were made in all of that.
John Floren: Sure, I’ll talk about the progress in the projects and I will turn over Ian to talk about the numbers. And so the third shipment is just being completed and on its way to Geismar so that’s 3 of 5. We expect to have all the shipment completed by the end of this quarter. The project is still on time and on budget and then we started decommissioning the second plant. I’ll turn over to Ian for the specific numbers.
Ian Cameron: Yeah, so, Jacob, in terms of capital spent to-date, it’s recorded in the financial statements, but is about $175 million to-date and that includes a little bit of capitalized interest. Going forward we have about $850 million to go for both G1 and G2 and in terms of spending profile, think of it as above $300 million for the rest of this year, around $400 million for 2014 and then the remainder will be mostly 2015, but some of them will triple into 2016.
Jacob Bout – CIBC World Markets: And how much of that will be expense?
Ian Cameron: Of that, well, the expense will be about $35 million or so and that’s related to the organizational cost build-up, which is a requirement under IFRS.
John Floren: Jacob, we can give more specific numbers offline if you’d like.
Jacob Bout – CIBC World Markets: Okay. And then maybe just a follow-up here, just, a bit more in Geismar II. Is there any [legal room] there as far as the start-up. I know you’re talking about the beginning of 2016, but specifically what I’m getting out here is, I think we’ve seen, I think 10 new methanol plants announcements in the U.S. and I think the latest, the Valero, that 1.6 million ton, this are pretty low CapEx number that have been thrown out there. So, is there any [legal room] as far as not going head with Geismar II?
John Floren: Besides our project I’m aware of three announcements in the U.S., Southwest Louisiana (inaudible) and Valero. I mean, the Valero we saw what you saw. We have no further information on that. If there excess hydrogen obviously you don’t have to build a lot of the kit if you have excess hydrogen but I think for us it’s early days to be commenting on that. As far, level room from what I understand from our team, are there are a lot one-time learnings by taking the first one apart and moving it. So, is there a chance to improve the schedule, sure there is a chance. But I think, I’m comfortable with the first quarter of 2016.
Jacob Bout – CIBC World Markets: Thank you. Is there any other, a number of other integrated producers and are talking about it, and Valero number $400 a ton, is pretty well.
John Floren: We’ve mentioned in announcements, right. So there is a lot of speed, but if you are talking specifically what’s been announced, as Southwest Louisiana, Celanese and now Valero. That’s what been announced. There is always lot of speculation about projects. How the $400 ton number that you closed comes together. I have no idea. I read the same information, that you’ve read and will do some work on it, but I think it’s premature to be speculating about other announcements of our capital costs when we don’t know the details.
Jacob Bout – CIBC World Markets: Thank you very much.
Operator: Thank you once again. The following question is from Laurence Alexander from Jefferies. Please go ahead.
Laurence Alexander – Jefferies & Company: Hello and I guess two quick questions. One, can you given an update on the timing and magnitude of any significant averages over the next three quarters or so? And secondly of you look at the way the Chinese and Seoul capacities coming on stream. Are there any changes in how they are building the units, that will impact the national demand there or in a way that you think it’s significant?
John Floren: For the next MTO plant that’s coming on, we understand is starting up in August of this year it’s Wisong. It’s in Nanjing, it will consume about 800,000 tons of methanol. We have no entire information about how well that start up, may or may not go beyond that we believe there is another couple of plans over the next few years that will be using merchant methanol. The exact timing on those is it’s too early to say. With regard to outages, we don’t give guidance on our own plant maintenance programs beyond what we said around New Zealand and the major reset we have there to the performer on one of the plants in (inaudible).
Laurence Alexander – Jefferies & Company: Okay. And then, can you give any incremental detail on how you’re thinking around the Canadian, the next projects you could do up and over in Canada?
John Floren: Yeah, maybe I’ll turn that over Mike Herz, our SVP of Corporate Development to just talk about that.
Mike Herz: Sure, I guess common knowledge is one of the things we’re looking at and I think we’re making good progress. Still a number of things that need to come together to be a successful project and we’re advancing that. I think we’ll have more to report later this year, early next year.
John Floren: Okay. Thank you.
Operator: Thank you. The following question is from Alex Syrnyk from BMO Capital Markets. Please go ahead.
Alexandra M. Syrnyk – BMO Capital Markets: Hi. I was just wondering if you could elaborate on some of the initiatives that were mentioned in the press release that have led to some of the savings that you’ve seen, I guess year-to-date on logistic transportation side.
John Floren: Sure. We’ve been looking at our terminal infrastructure globally. We rationalize it. We’ll continue to rationalize it as we look to our supply chain changing quite significantly. As you know, we used to have four plants operating in the Southern tip of Chile, shipping that product both to Europe and to Asia. We’ve taken some time to rationalize our supply chain. We had excess shipping for a number of years as well as the result of what happened to us in Chile. We’ve been rationalizing our shipping, especially our big ships over the past few years. In addition, as we get more production in places like New Zealand, we have a really nice backhaul opportunities coming out of Korea and other parts of Northeast Asia for gasoline and other clean petroleum products back into New Zealand. I think our Waterfront shipping team is really getting quite good at cleaning, which reduces the amount of time that the ships not available for other cargoes, and they’re really getting well integrated into global shipping markets for clean petroleum products to have a relationships to allow us to leverage the amount of time that we’re running more ships with cargos. I think about 40% of what we carry today on the ships is not methanol. Right now, the chemical markets or clean petroleum markets for liquids is still lower than what we would say in a normal cycle. So I think there is some upside in our shipping backhaul as rates get back to more normal types of money that we used to see for clean petroleum products. So I think there is some upside. We will continue to rationalize as we go forward, having 2 million tons in (inaudible) rate in market, it’s going to reduce our ocean freight for that portion, but depending as I mentioned earlier what happens to the (inaudible) product and how the markets develop, we may have to ship that a little further. So again, I think the trend is really nice, I think the trend for the next month is going to continue, but predicting out 2 to 3 years is pretty difficult.
Alexandra M. Syrnyk – BMO Capital Markets: Okay, that’s very helpful. And then just in terms of some of the CapEx that was mentioned in the release. The maintenance CapEx number that was given, I guess it’s guidance number through 2014. Will that include any spending to do with gas expiration in July, or is that something that would be about that?
John Floren: Yeah, the gas exploration, any numbers would be excluding that. How you should be thinking of maintenance capital is for every million tons of operating capacity. You should think about $10 million per year, so for operating 5 million tons think of 50, for operating 8 million tons think of 80 on average. As far as the upstream spend, we’ve stopped spending money in the upstream, we have some commitments that we made late last year that we need to fulfill but beyond that you won’t see us spending much more money in the upstream.
Alexandra M. Syrnyk – BMO Capital Markets: Okay, great. That’s perfect. Thanks, that’s it for me.
Operator: Thank you. The following question is from Hassan Ahmed from Alembic Global. Please go ahead.
Hassan Ahmed - Alembic Global Advisors: Hi, there John. Recently there has been a couple of articles about serious sort of gas curtailments in Trinidad, you obviously in your prepared remarks talked a bit about some of the production shortfalls in Trinidad but these articles were particularly talking about these curtailments happening sometime around September. So just I guess if you could just maybe give us some sort of guidance be it on the operating rate side of things in the near-term and how we should think about the Trinidadian side of things?
John Floren: Again, I think I mentioned in the last call that Trinidad, one of the major upstream players there has had a 3-year program on maintenance on their platforms and pipelines and this is the third year of that program, that large supplier is going to take out a large platform in September for maintenance. We understand another supplier is also planning on doing some maintenance in the same period, so there is a bench point in September. The downstream at the same time is looking to do a bunch of it, maintenance in the same month. So we have had some planned maintenance there on Titan and we are looking to coincide that maintenance at the time that the upstream is doing their maintenance. So, I think it’s a very delicate balance, it’s standing right now between the upstream and the downstream and for the rest of 2013, we do expect to see ongoing restrictions as a result of the maintenance, but we’ll have a look at 2014. We understand the maintenance on the upstream will be completed by 2014. But I think even then it’s going to be a very tight supply and demand balance and so we get some more gas into the system which I understand is quite likely in the second half, but its early days to be definitive about it.
Hassan Ahmed - Alembic Global Advisors: Fair enough. And on the pricing side of things, one of the sort of recurring questions that I get from investors is around just this disconnect or large disconnect between call it, North American prices and Chinese spot prices. I mean, we’d love to hear your thoughts about that side of things. I mean, is this sort of a signal that maybe some eminent pricing downside.
Unidentified Company Representative: Or pricing upside?
Hassan Ahmed - Alembic Global Advisors: Oh, exactly right.
John Floren: Yeah, I think what’s happened is that the Atlantic basin and the Pacific basin used to be quite similar, let’s say $20 to $30 difference, and there are large Middle Eastern producer used to be able to swing their spot molecules between the European market and the South East Asian market. As a result of restrictions, they’re really limited to selling in India and China and that’s putting downward pressure on those markets. So the only real today’s spot molecule that are available to fill this arbitrage gap would be from China. And as I mentioned earlier, most of what we’re seeing being reexported is actually Middle Eastern or South East Asia molecules as opposed to Chinese. But when you look at the amount of money needed to make that work, you’re talking freights and export/import duties as well as terminals, excess of $100 a ton. So, unless something was to change whether it would be more spot molecules available and able to swing from the Middle East or Europe, we would expect this differential to continue. So depending on, I would say what happens in pricing in the Chinese market. And as I mentioned earlier, we’ve seen prices increased in the last weeks and the differential will continue and prices may go higher, may go lower depending on what happens in China.
Hassan Ahmed - Alembic Global Advisors: Very good. Thanks so much.
Operator: Thank you. (Operator Instructions) The following question is from Chris McDougall from Westlake Securities. Please go ahead.
Chris McDougall – Westlake Securities: John, thanks for the update. So I wanted to go to the produced methanol, we’ve seen a number of quarters here of good on price increases, and you take title to the significant amount of produced methanol. So I would imagine there is a little bit of an uplift since prices have been rising or steady during that period. And I would love to understand, how big of an impact that is on the financials and kind of if there is any downside there if prices rollover a bit?
Eduardo Escaffi J.: Chris, are you talking about purchased or produced?
Chris McDougall – Westlake Securities: I’m sorry. Perhaps I spoke wrong. I meant the purchase?
Eduardo Escaffi J.: So obviously as prices go up, the carrying cost on our inventory, we do better when our prices would go down. We do it, but it’s really insignificant when you think about the overall amount of sales, the amount of purchase product in our inventories at any given time is extremely low and it flows through the inventories around 30 to 45 days. So I don’t think it’s a big liability or a big upside, I think it just flows as we need to purchase product around the world. I would say though with this big differential between China and the Atlantic basin, we have been able to take advantage of that by purchasing more in China and even selling some spot product in North America, for example. So we are probably one of the few suppliers globally that has an integrated supply chain that can take advantage of these arbitrage opportunities due to our fantastic supply chain.
Chris McDougall – Westlake Securities: And so it does sound like it’s helping your financial uptake right now, not as much from the kind of uplift as pricing moves, but from the arbitrage. How big of an impact is that on the financials? Is that a few million dollars or tens of million of dollars or what?
Unidentified Company Representative: What we’ve always said about purchase products over the cycle is you should think of it is as neutral. We don’t make money, we don’t lose money. I’d say during the first half of this year, we’ve made significant amount of money, but if things were to turn around, we could lose money. So I think I am still comfortable saying that it’s neutral, but during this period we made good dollars. And we will continue I think, because of the arbitrage to make decent money on the purchased product.
Chris McDougall – Westlake Securities: Okay, thanks. And then last thing on the legal proceedings in Argentina. So what’s the kind of the range of expectations there in timing?
John Floren: You mean as far as how much money?
Chris McDougall – Westlake Securities: Well, I mean, I guess the sector upside is significant, but more importantly, I love to understand the process and timing going forward for that.
John Floren: Well, in my experience, Chris, any arbitration takes a lot of time. So we have started down the path. We think we have a strong case. We’ll see how this progresses. So you’re talking if you think of all of the gas we haven’t got in both Argentina and Chile, hundreds of millions of dollars. So we have started one case in arbitration and on reminding when you are doing arbitration, one case doesn’t mean that if you are successful that case apply to the next case. So each one is individual and the results of each arbitration aren’t known to the other parties. So we started one, and we’ll see how we progress.
Chris McDougall – Westlake Securities: Great. Thanks a lot.
Operator: Thank you. The following question is from Robert Kwan from RBC Capital Markets. Please go ahead.
Robert Kwan – RBC Capital Markets: Good morning. John, you’ve talked about the (inaudible) initiatives over the next few years. I’m just thinking as you look past that, you’ve made some comments on prior calls that when you look additional potential relocation out of Chile, Greenfield build or even acquisitions, just wondering where you see at least right now in the landscape, where you think the best opportunities will be where you’re focusing the corporate development activities on a risk reward basis?
John Floren: I’d say all three. If you look at relocations, there’s been some as we’ve mentioned earlier that there’s been quite a bit of expiration activity in Chile, and there’s been some fairly interesting developments there in the last weeks. We’ll know a little bit more by the end of August about the availability of gas from these expiration developments, but we’re quite optimistic. So obviously, have all this said, keeping two plants in Chile, running at full rates is first price, and that’s what we’re focused on. If we ever come to the conclusion that at best as best is the one plan, then we do have a third plant that we could think about moving. But I’ll remind you as well, Argentina has started quite a bit of development on their shale gas in the Neuquen basin, I think there was an announcement between Argentina and Chevron of over $1 billion of activity just in that basin. And I think the announcement I saw allowed Chevron to explore about 20% of that production and if it’s successful. So not only is Chile looking more positive, but there is a lot of activity in Argentina, and from what we’ve seen, and we’re doing some work right now with the third party to understand it better, and reserves in Argentina are quite large, and the formation of the rocket setter is quite similar to what we see in North America so pretty economic to get out that kind of shale gas. But again, we’re at early days. so I think did a lot to play out in the southern corner of South America before we think about moving our third plan. At the same time, there’s very few acquisition opportunities, because most of our competitors are owned by state-owned companies who were looking to grow their businesses, not to sell parts of their businesses. And new builds are pretty difficult, if you look at the long-term price of the methanol, you look at capital of around $1 million to a tonne and even if you’re able to secure gas pricing at 450 escalating at 2%, the economics still give you return that’s anywhere near our hurdle rates. So it’s difficult, but we’re continuing to progress, the industries growing at 3 million to 4 million tonnes per year, and I think supply has to grow to meet that demand and it’s going to come in North America and other places and we’ll progress the opportunities, as we have more and more information, we’ll make decisions. But it’s early days and we have some time to get stay focused on these 3 million tonnes that are raised in front of us, get those projects all done well safely in a quality manner on time, on budget. and we have a team progressing the next two build, which we’ll look to make a decision some time next year and think about 2018-2019 period for operation.
Robert Kwan – RBC Capital Markets: Okay, thanks, John. just the last question I’ve got. you touched on some of the gas supply issues in Trinidad, I’m just wondering if there’s anything more on you just got those and what was in your prepared remarks specifically in the interactions you’ve had with I guess the new government regime and how might think that, that might play out.
John Floren: Again the world is difficult to predict, the future is difficult to predict. And I’d say Egypt is even harder to predict. What I’d say is the new energy minister is a good, is well known to us. We’ve been working with him in Egypt for 5 or 6 years. We think it’s a great move for him to be in that position. I think it’s not only a supply side issue, there is a lots of reserves, it’s about unlocking those reserves through infrastructures et cetera, and the demand have to be put under control. All I would say is, what we’ve observed, is gas supply is much better, since the change in government in Egypt. If you locate at diesel and gasoline supply over night those lineups went away with the change in government. So that’s what we’ve observed but what’s going to happen tomorrow. It’s very difficult to predict.
Robert Kwan – RBC Capital Markets: Have you had active interactions or just been kind of laying low and running up play out given it looks like things have improved a little bit on the supply side?
John Floren: No, we’re very active. We don’t lay low. We’re trying to influence our future. Again I remind you the government through different entities owns a third in the projects. We’re very interactive and active and we’re looking to make sure that we are securing gas through run that operation as high as possible.
Robert Kwan – RBC Capital Markets: That’s great color. Thanks John.
Operator: Thank you. The following question is from Steve Hansen from Raymond James. Please go ahead.
Steve Hansen – Raymond James Ltd.: All right guys, good morning everyone, thanks for the time. John just a follow-up to some of the earlier U.S. centered questions, I just want to get your sense for similar potential longer term demand side issues in the U.S. that might take place to offset some of the scalable supply side that we might see coming on. Do you see any potential for whether it’d derivative of gasoline blending or any NTL facilities or anything of that nature that’s really stopped the growth used to eventually take place over here in the west?
John Floren: First of all, on the quick traditional chemical derivatives for the first time in many many years, we’re starting to see announcements of new plants in the U.S. for traditional chemical derivatives, whether it would be Huntsman’s announcement or (inaudible) announcement and there is even some MTV announcements so, we are starting to see production of derivatives come back. I’d say, we’re not expecting any MTO in the U.S. I think with cheap ethane and abundant ethane, making olefins from ethane is still the preferable way. I’d say the methanol to olefins process is competing with naphtha, plus more of an Asia, Europe, type function or issue. On the fuel blending, methanol makes a heck of a lot of sense in the U.S. You’re already using ethanol at around 10% and methanol and ethanol behave very similarly in the fuel pool and I think there is bill in front of Congress to allow what we call a blend field which is a gasoline, ethanol, methanol mix. Those are the blends that we’ve been working on in Australia and in New Zealand and then Iceland. So we think that’s the future. Having said that, is it tomorrow. No, I think Washington is focused on other issues right now, but the economics overtime have a way of prevailing, the U.S. has a lot of cheap abundant natural gas and has MIT and their study pointed out that use, that gas taken into liquid fuels, but the best way that gas to get into liquid fuel is through methanol. And if the country wants to lower it, it’s dependence on foreign oil, natural gas to methanol is one way to do it, there is a great look out there, called Metroplate that really outlines the methanol to energy applications focused on the U.S. which I’d highly recommend you reading Steve, if you want more information.
Steve Hansen – Raymond James Ltd.: Okay, that’s helpful. My second follow-up question just has to do with the operating leverage potentially here as you guys prepare to bring on 3 million tons, presumably a lot of these tons will be able to leverage here existing fixed asset base and I am just trying to get a sense if there is a rough real sum, we should be thinking around the fixed cost base and your cost of goods that won’t change much as the incremental tons?
John Floren: Yeah, we are not guiding to that Steve, but what I would say is, as we bring on 3 million tons and we are operating at 5 million tons today, the number of terminals, the number of ships, the number of railcars, the number of people will not incrementally go up. So we are not guiding towards that, but you should see our fixed cost as a percent of our overall produced molecules go down.
Steve Hansen – Raymond James Ltd.: Okay, very helpful. Thank you.
Operator: Thank you. (Operator Instructions) The following question is from Chris Shaw from Monness Crespi. Please go ahead.
Christopher Lawrence Shaw – Monness Crespi Hardt & Co., Inc.: Yeah, good morning. Is there any update on the progress of getting a longer term gas contract at Medicine Hat?
John Floren: We are pursuing a gas contract for our Medicine Hat facility as well as our G2 or Geismar 2 facility. I’d say we are progressing, we are having talks. When we did secure the 10-year contracts with Chesapeake for the Geismar 1, I think the spot price of gas was below $2 and if you look at the spot price of gas in Western Canada today, it’s probably low-to-mid $2 or I think our view is the Western Canadian gas is going to be a lot more stranded than the Gulf Coast gas or Henry Hub gas going forward. The U.S. still imports about 15% of its gas requirements from Canada. We would expect that overtime to reduce and then less LNG pipeline gets filled from Alberta to the West Coast of British Columbia, unlikely that gas has anywhere to go, so we’re pretty optimistic we’ll be able to secure something for Medicine Hat, and a potential new build in Medicine Hat, but we haven’t anything to report today.
Christopher Lawrence Shaw – Monness Crespi Hardt & Co., Inc.: Thanks. And then you spoke on lot of newer stories at least, talk about restrictions, I guess for Middle East product that has – been it sounds like it has to go through China, is that just a I mean – I think in case of Iran, Iran methanol also sell into Europe or to North America?
John Floren: Yeah, traditionally before sanctions Chris, Iran methanol would sell to Europe and Asia, Korea, Japan, China, India and other places in South East Asia. As a result of the sanctions, the only place that they seem to be able to sell methanol today is in India and China. Sales to Europe, sales to Korea, Japan et cetera have all dried up as a result of the sanctions.
Christopher Lawrence Shaw – Monness Crespi Hardt & Co., Inc.: Do you know what – the size of Iranian capacity? Approximately?
John Floren: Around 3 million tons to 3.5 million tons is what if you look at the last five years, and what they’ve produced, that’s the amount.
Christopher Lawrence Shaw – Monness Crespi Hardt & Co., Inc.: Okay, thanks a lot.
John Floren: You’re welcome.
Operator: Thank you. The following question is from Charles Neivert from Cowen Company. Please go ahead.
Charles Neivert – Cowen Securities: Hey, thanks guys. Two quick questions on the ETB to MTB switch, can you approximately quantify about how much methanol that means in the total things, and the second question follow-on is, as China at the national level moved forward at all on creating a national standard for methanol in its fuel. I know it’s still a lot on the provincial levels, but have we seen any forward movement towards the national standard?
John Floren: Yes. On ETB to MTB, don’t – the rough numbers I recall is around 2,000 tons to 3,000 tons of additional methanol demand because of that switch on an annual twelve month basis. Now there has been a number of players that have switched over the last six or seven months, and we understand there are some more switching to happen, so around 200,000 tons to 300,000 tons. Again, the standard in China, the M15 Standard is there. It hasn’t been approved. There is progress, but I’ve been wrong in the past. I’m terrible at predicting the future. We do believe, it’s still active and we do, we’re optimistic it’ll get done. But I’ll rather not predict timing to it Charlie.
Charles Neivert – Cowen Securities: Thanks. Just as a quick follow on, how many provinces are not using much of any or if or much methanol now and if a national standard came in would sort of come under that umbrella that aren’t there today.
John Floren: Yeah, again it would be a standard not a mandate. So I think we would like to say most of the provinces have their own program, so even if the M15 standard was the past tomorrow, we wouldn’t expect significant change in the short-term. I think medium-term, if you have a standard that M15, other provinces will look at it and certainly the roadblocks that we have seen from the people that have invested lot of money in refining capacity would be less. So, I think it’s more of a medium-term story Charlie than a short-term story.
Charles Neivert – Cowen Securities: Okay, great. Thank you.
Operator: Thank you. The last question is from Paul D'Amico from TD Securities. Please go ahead.
Paul D'Amico – TD Securities: Hey, John. Just a few quick question. First, I don’t know if you covered or not, I am not interested. But on Trinidad, what sort of operating we’re thinking over the next two quarters in terms of just trying to understand the difficulties that are there still. So there is 57,000 tons holdback in Q2. Is it sort of like a linear process to add to the 370 or is there a more general way to look at it right now?
John Floren: Yeah, we haven’t guided to that Paul, well 57,000 tons that I said was because of production issues. We wouldn’t expect though to be repeated in the third quarter or fourth quarter, but again how do we know if we’re going to have unplanned outage because of some technical issue. The gas restriction themselves are on going. They’re different everyday. So again it’s really difficult to predict how much. One day we’re running at 100, one day we’re running a little less. So I think I’ve said that we expect maintenance to continue through the second half of this year and we do expect it to be restricted, not only us but the whole [state] and that is leading to some of the tightness we’re seeing in the Atlantic basin from molecules. So until we see anything different it’s really difficult to predict what the operating rate will be.
Paul D'Amico – TD Securities: Okay. And lastly, just on directionality, I mean, pricing is looking better than it was on average for Q2, in terms of – well Q3 looks like so far volume should be better sequentially. So directionally you should be expecting better earnings versus Q2?
John Floren: We’ll comment on that as the call (inaudible).
Paul D'Amico – TD Securities: Okay.
Operator: Thank you. The last question is from Steve Hansen form Raymond James. Please go ahead.
Steve Hansen – Raymond James Ltd.: Hey, guys, just one last housekeeping question on the tax rate. It’s been low now for two consecutive quarters. So just want to get an outlook for the back half of the year?
John Floren: I’ll get Ian to answer to that one, Steve.
Ian Cameron: Yeah, so Steve, previous guidance 20% to 25%, we sell in the near-term. We would expect it to be a little bit below that really to a bunch of structural issues around supply chain what’s happening in terms of Chile, Chile shutdown right now. And we’re doing well in our shipping operation as well. So a bunch of things that are causing the tax rate to be below that 20% rate. We would expect that lower to below 20% rate to continue for a couple of quarters, but we do our sort of mid-term intermediate forecasting. We do see the tax increase in, say, the next nine to 12 months into tat range of 20% to 25%.
Steve Hansen – Raymond James Ltd.: Okay, great. So stepping up into 2014 and certainly.
Ian Cameron: That’s right.
Steve Hansen – Raymond James Ltd.:
Operator: Thank you. There are no further questions registered at this time, I'd like to return the meeting to Mr. J John Floren.
John Floren: Yeah, so that's for all the questions and the interest in the company. So the long-term industry outlook is very positive with solid demand growth and very limited new supply. We are in a great position. We are going to be adding 3 million tons are about 60% of our production over the next 2.5 years. So that will really give us a good position to generate more earnings and cash for our shareholders. as we look forward to Q3, we see a stable pricing environment. We see our production environment being very similar, so we would expect earnings in Q3 to be similar to earning in Q2. Thanks for the interest in the company and have a great day.
Operator: Thank you. That concludes today's conference call. Please disconnect your lines at this time and we thank you for your participation.